Operator: Good morning. My name is Jordan, and I'll be your conference operator today. At this time, I would like to welcome everyone to the EMCOR Group Third Quarter 2022 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions]. Mr. Blake Mueller with FTI Consulting, you may begin.
Blake Mueller: Thank you, Jordan, and good morning, everyone. Welcome to the EMCOR Group conference call. We are here today to discuss the company's 2022 third quarter results, which were reported this morning. I would like to turn the call over to Kevin Matz, Executive Vice President of Shared Services, who will introduce management. Kevin, please go ahead.
Kevin Matz: Thank you, Blake, and good morning, everyone. As always, thank you for your interest in EMCOR, and welcome to our earnings conference call for the third quarter of 2022. For those of you, who are accessing the call via the Internet and our website, welcome as well and we hope you have arrived at the beginning of our slide presentation that will accompany our remarks today. We are on Slide 2. This presentation and discussion contains forward-looking statements and may contain certain non-GAAP financial information. Page 2 describes in detail the forward-looking statements and the non-GAAP financial information disclosures. I encourage everyone to review both disclosures in conjunction with our discussion and accompanying slides. On the next slide, they are the executives who are with me to discuss the call and nine months results. They are Tony Guzzi, Chairman, President and Chief Executive Officer; Mark Pompa, Executive Vice President and Chief Financial Officer; and our Executive Vice President and General Counsel, Maxine Mauricio. For call participants not accessing the conference call via the Internet, this presentation, including the slides, will be archived in the Investor Relations section of our website under Presentations. You can find us as always at emcorgroup.com. With that said, please let me turn the call over to Tony. Tony?
Tony Guzzi: Yes. Thanks, Kevin, and good morning, everybody. I will discuss our third quarter results in my opening comments and Mark will cover the third quarter and year-to-date results in greater detail. My opening commentary will focus on Pages 4 through 6. We delivered another strong quarter at EMCOR. Revenues grew to $2.83 billion with 12.1% overall revenue growth and 10.8% organic revenue growth, continuing the strong organic revenue growth we have earned over the last three years. I believe that this achievement, a consistent, strong organic revenue growth and the underlying profit growth is a testament to our positioning in certain key markets and a result of our long-term acquisition programs, capital spending, leader development programs, and customer and sector focus. Further, our gross margin gap versus prior year performance had closed to a smallest gap this year. This shows that we are narrowing the impact of the supply chain disruptions and inflation as we price, plan and execute our project and service work. We grew operating income to $150.1 million with 5.3% operating income margins. We had strong SG&A leverage with SG&A margin at 9.3% of revenues. Our operating cash flow was exceptional at $257 million in the quarter. Our diluted earnings per share was $2.16 per share compared to a $1.85 per share for the third quarter of 2021. This is excellent overall performance, especially against the challenges of continued supply chain disruptions and inflation. These issues are still present and it does present operating challenges that we have to work through. I am always amazed at the resourcefulness, flexibility and depth operating skills of our field leadership team as they plan and execute around an ever-changing and volatile environment and achieve excellent execution for our customers. I will now cover some highlights by segment. We continue to have very strong revenue growth in our Electrical and Mechanical Construction segments. Our Mechanical Construction segment revenues grew at 11.2% in the quarter and most of that growth in this segment was organic. Electrical Construction segment revenues grew at 19.3% with 13.1% organic revenue growth. Operating income margin of 5.6% in the Electrical Construction segment was challenged by product mix, timing and some legacy transportation project issues. We continue to see very strong performance from our data center and high-tech manufacturing projects and are experiencing sizable growth in our commercial RPOs driven by these project awards. We expect Electrical operating income margins to rebound sequentially as we finish the year and move into 2023 as our mix improves as projects delayed by extended lead times for major equipment commenced into the execution phase. Operating income margin in our Mechanical Construction segment was 8.1%, driven by exceptional execution in the commercial market sector on several semi-conductor, pharma and life science projects. Our Mechanical Construction segment also performed well with respect to our fire protection offerings, what cuts across all geographies and sectors of performance. Supply chain and inflation challenges continue and will remain part of our project planning and execution through the balance of 2022 and well into 2023. Our U.S. Building Services segment had an excellent quarter with an operating income margin of 6.4% and 38.7% operating income growth, driven in part by revenues of $710.7 million which represented 13.8% revenue growth quarter-over-quarter and that was all mostly organic revenue growth. We had strong repair service, HVAC project, and energy efficiency project execution. Driving this growth is the underlying demand for our offerings. We leave this quarter with record RPOs as we continue to benefit from our customers' demand for energy efficiency upgrades in indoor air quality improvement. It was a great quarter for Building Services. Our Industrial Services segment faced a headwind of delayed turnaround projects as our customers pushed some work into the fourth quarter. Third quarter is typically a seasonally weak quarter in the Industrial Services segment. And we believe we will continue to see improved performance in the fourth quarter and into the first quarter of 2023. We are also hampered in this quarter by delayed startup and awards on several solar opportunities that we are well-positioned to execute as supply chain disruptions ease. Our United Kingdom Building Services segment continues to excel with 7.1% operating income margins, favorable project mix, and excellent customer delivery. Our team continues to perform well against the backdrop of very challenging economic environment and foreign exchange headwinds. We exit the quarter with a strong balance sheet, RPOs Remaining Performance Obligations at a record level of $7.1 billion versus $5.4 billion a year ago and $5.6 billion at the end of 2021. With that I'll turn the call over to Mark and he'll go over the quarter in detail.
Mark Pompa: Thank you, Tony, and good morning to everyone on the call today. For those accessing this presentation via the webcast, we are now on Slide 7. Over the next several slides, I will augment Tony's opening commentary on EMCOR's third quarter performance as well as provide a brief update on our year-to-date results through September 30. All financial information referenced this morning is derived from our consolidated financial statements included in both of our earnings release announcement and Form 10-Q filed with the Securities and Exchange Commission earlier today. So let's revisit and expand a review of EMCOR's third quarter performance. Consolidated revenues of $2.83 billion are up $304.7 million or 12.1% over quarter three 2021 and represent a new all-time quarterly revenue record for EMCOR. Each of our reportable segment experienced quarter-over-quarter revenue growth other than our United Kingdom Building Services segment which was negatively impacted by unfavorable exchange rate movements during the quarter. Excluding $32.8 million of revenues attributable to businesses acquired pertaining to the time that such businesses were not owned by EMCOR in last year's quarter, revenues for the third quarter of 2022 increased approximately $272 million or 10.8% when compared to the third quarter of 2021. The specifics of each reportable segment are as follows: United States Electrical Construction segment revenues of $633.4 million increased a $102.4 million or 19.3% from quarter three 2021. Excluding incremental acquisition revenue this segments revenue grew a strong 13.1% organically quarter-over-quarter. Increased project activity within the commercial markets sector, inclusive of the telecommunications and technology submarket sectors as well as revenue growth from projects supporting both sustainable energy solutions and other traditional energy sources within the manufacturing market sector were the main drivers of the period-over-period increase. In addition, this segment continues to provide electrical solutions to our healthcare clients where they remain strength and demand for large capital projects. United States Mechanical Construction revenues of $1.12 billion increased a $113 million or 11.2% from quarter three 2021. Revenue growth during the quarter was driven by increases within the commercial, institutional, and water and wastewater market sectors. With respect to commercial sector revenue growth we are benefiting from increased project activity for customers within the semiconductor industry as well as customers within the biotech, life sciences and pharmaceutical industries. These projects include both traditional and mechanical construction as well as fire protection services. In addition, within the commercial market sector we continue to see increase in demand for our fire protection services notably from our e-commerce customers as they expand their warehouse and distribution facilities. From an institutional market sector perspective, revenue growth was geographically broad-based and included increased revenues from a number of schools, universities, and other educational customers, including those which have received funding for HVAC repair and replacement under the CARES Act. On the other hand, our water and wastewater revenues remain concentrated within the Southern United States where we are supporting the increasing demand for potable drinking water and the treatment of wastewater given the shift in population in that region. Third quarter revenues from EMCOR's combined United States Construction business of $1.75 billion increased $215.4 million or 14% with 11.9% of such growth being organic. This combined revenue performance as well as the revenue performance of each of our Electrical and Mechanical Construction segments represent new all-time quarterly revenue records. Consistent with last quarter, the achievement of these records have been accomplished while also increasing remaining performance obligations, which also represent all-time highs for each of our construction segments. Tony has already commented on our RPO development during the quarter and he will be providing more detailed commentary at the conclusion of this financial section. United States Building Services quarterly revenues of $710.7 million increased $86.1 million or 13.8%. Revenue growth was generated within this segments Mechanical Services and commercial site-based services divisions. Within Mechanical Services, we continue to benefit from strong demand for HVAC retrofit projects in building automation and control services with an emphasis on improving building efficiency, energy consumption, and indoor air quality. In addition, we are experiencing growth in service repair and maintenance volumes as supply chain delays have resulted in the need to extend the useful lives of existing HVAC equipment in instances when replacement equipment is not readily available. With respect to the segments commercial site-based services division, new customer additions, as well as scope or site expansion and increased project activity with existing customers were the drivers of the quarterly increase in revenues. EMCOR's Industrial Services segment revenues of $247.2 million, increased $15 million or 6.5%. Although, the quarterly growth is not as significant as that of our last two quarters, we were encouraged to see solid mid-single-digit revenue growth as quarter three represents this segments seasonally slowest period as Tony previously mentioned. This revenue growth was despite the headwinds created by refinery utilization well in excess of 90% during the majority of the quarter, which can often limit the opportunities to provide field services as our customers are reluctant to take down the refineries for any extended maintenance. United Kingdom Building Services revenues of $117.7 million decreased $11.8 million. As previously mentioned, this revenue contraction was entirely due to unfavorable exchange rate movements for the British pound versus the United States dollar, which is masking revenue growth on a local currency basis. This segment continues to see strong project demand from the commercial market sector customers inclusive of the telecommunications submarket sector. Please turn to Slide 8. Selling, general and administrative expenses of $263.1 million represent 9.3% of revenues and compares to $243.9 million or 9.7% of revenues in the year ago period. The current year's quarter includes approximately $3.7 million in incremental expenses from businesses acquired inclusive of intangible asset amortization, resulting in an organic quarter-over-quarter increase in SG&A of $15.5 million. This quarter's organic growth and SG&A expenses is primarily related to increased personnel costs due to both increased headcount to support our organic revenue growth as well as higher quarterly incentive compensation expense due to improved year-over-year performance at certain of our operations. Additionally, we continue to experience growth in travel and entertainment expenses as our employee business travel continues to resume normalcy. Despite the growth in SG&A dollars, we have seen a reduction in SG&A as a percentage of revenues as we successfully leverage our cost structure. As I mentioned last quarter, we continue to maintain discipline with overhead investment and will seek incremental efficiencies and economies of scale as we drive future revenue growth. Reported operating income for the quarter of $150.1 million or 5.3% of revenues compares to operating income of $137.4 million or 5.4% of revenues in 2021's third quarter. Our $150.1 million of quarterly operating income eclipses EMCOR's all-time quarterly OI record set in 2021's fourth quarter. Our operating margin of 5.3% represents a sequential improvement from that of quarter two, which was also sequentially higher than quarter one. Despite inflationary pressures and supply chain headwinds EMCOR continues to execute at a high-level, producing strong operating results and margin conversion on a revenue base, which continues to grow. Specific quarterly performance by segment is as follows: our U.S. Electrical Construction segment operating income of $35.6 million, decreased $8.7 million from the comparable 2021 period. Reported operating margin of 5.6% represents a reduction from the 8.3% in last year's quarter, the decrease in both operating income and operating margin is due to a less favorable project mix within the commercial, institutional and transportation market sectors, coupled with certain discrete project write-downs totaling $10.5 million during the quarter, which negatively impacted the segment's operating margin by 170 basis points. These losses were due in part to supply chain disruptions as well as project completion delays and time extensions beyond our control. The majority of these projects were bid a number of years ago under different economic conditions where the extent of these supply chain disruptions as well as current inflationary pressures and escalating material prices could not have been contemplated. We continue to evaluate our contractual rights and are pursuing recovery were permitted. Aided by the increase in segment revenues, third quarter operating income of our U.S. Mechanical Construction segment of $91 million represents a $10.2 million increase from last year's quarter, while quarterly operating margin of 8.1% is modestly improved from 8% in 2021's third quarter. This improvement on operating margin is despite having a larger number of active projects within the manufacturing and water and wastewater sectors where we are either acting as a construction manager or general contractor. In these cases, our percentage of self-performed labor is less than a typical EMCOR construction project, thereby resulting in a lower gross margin profile. Operating income for U.S. Building Services is $45.6 million or 6.4% of revenues, which represents a substantial $12.7 million or $38.7 million -- sorry, 38.7% increase period-over-period with a 110 basis point in expansion and operating margin. Driven by the performance of our Mechanical Services division, this segment is benefiting from both favorable project execution as well as the impact of certain pricing adjustments aimed at better aligning our billing rates with the increased operating costs we have experienced. Our U.S. Industrial Services segment operating loss of $1.4 million represents a $1.6 million improvement from the $3 million loss reported in 2021's third quarter. As I referenced earlier, quarter three is historically our Industrial segments seasonally weakest quarter. Additionally, the delay or deferral into future periods of certain customer turnaround projects, which were anticipated to commence in September of this year, resulted in a shortfall when compared to internal expectations for the quarter. UK Building Services operating income of $8.4 million or 7.1% of revenues represents an increase of $1.8 million and a 200 basis point improvement in operating margin quarter-over-quarter. This improved operating income performance is despite the foreign exchange headwinds mentioned during my revenue commentary, which reduced the segments reported operating income by $1.4 million in the quarter. This segment continues to benefit from a more favorable mix of project work when compared to the prior year. We are now on Slide 9. Additional financial items of significance for the quarter are not addressed in the previous slides or as follows: Quarter three gross profit of $413.2 million represents an all-time gross profit record for the company and is higher than the comparable 2021 quarter by $31.9 million or 8.4%. However, gross margin of 14.6% is lower than last year's third quarter primarily due to the impact the project write-downs within our Electrical Construction segment, which negatively impacted our consolidated gross profit margin by 40 basis points during the quarter. Although, the quarter-over-quarter gross margin compare is unfavorable, 14.6% of gross margin is sequentially higher than our first two quarters of 2022 and the 50 basis point year-over-year reduction represents the smallest quarterly variance to-date in the current year. Diluted earnings per common share in the third quarter of 2022 was $2.16 as compared to $1.85 per share for the prior year period. This third quarter EPS performance represents a new quarterly earnings per share record for EMCOR due to the combination of net income growth and a reduction in our weighted average shares outstanding given our continued share repurchase activity during the year. Please turn to Slide 10. With my quarter commentary out of the way, let's touch on some highlights with respect to EMCOR's results for the first nine months of 2022. Revenues of $8.13 billion represent an increase of $862.9 million or 11.9% of which 10.3% of such revenue growth was generated from organic activities. As a result of our exceptional performance over the last two quarters, our year-to-date operating income of $387.7 million approximate to that of 2021, which is quite impressive given the headwinds previously discussed. Operating margin for the year-to-date period is 4.8% and we continue to reduce the year-over-year gap, which is now only 50 basis points. On a combined basis, our U.S. Construction operations have experienced sequential quarterly improvement on operating margin throughout the year, and all of our other segments are reporting nine-month operating margins, which are either equal to or greater than that of the corresponding prior year period. Year-to-date diluted earnings per share was $5.50 and represents an increase of 6.4% from the $5.17 of EPS reported in 2021's nine-month to-date period. Although not shown on this slide, my last comment on our year-to-date results is with respect to our strong operating cash flow. In the nine-month period, we have generated $238.4 million of operating cash flow, which represents a substantial improvement over last year. Although, we had a slow start during the first six months of 2022, we generated $257.2 million of operating cash during the third quarter. Despite our strong organic revenue growth to-date in 2022, and the resulting requirement for working capital investment, our subsidiary management and project teams have done an excellent job of maintaining discipline in their project and service contract administration resulting in great cash conversion. We are now on Slide 11. EMCOR's balance sheet remains strong and we continue to be in a position to invest in our business, return capital to shareholders, and pursue strategic M&A transactions. Despite the significant operating cash flow I just mentioned, our cash on hand has declined from year-end 2021 as a result of cash used in investing and financing activities during the first nine months of 2022. Notably, we utilized $656.6 million for the repurchase of our common stock, have spent $91.1 million on acquisitions, and returned $20 million to our shareholders in the form of dividends. This activity was funded by our cash on hand as well as $170 million in borrowings under our revolving credit facility. Resulting primarily from a decrease in cash, coupled with an increase in our net contract liability position, our working capital balance has decreased by nearly $289 million from year-end 2021. These decreases were partially offset by an increase in accounts receivable, given the revenue growth we continue to experience. In terms of other fluctuations within our balance sheet, the $26.5 million increase in goodwill since December of last year was entirely a result of the acquisitions completed by us thus far in 2022. Net identifiable intangible assets have increased by approximately $16.6 million as the additional intangible assets recognized in connection with the aforementioned acquisitions were partially offset by amortization expense during the period. Total debt exclusive of operating lease liabilities has increased by nearly $170 million since December, given the borrowings under our revolving credit facility that I previously mentioned. As a result of this incremental debt coupled with the reduction in our shareholders' equity due to our capital allocation activities, EMCOR's debt to capitalization ratio has increased from 10.4% at year-end 2021 to 18.9% at September 30, 2022. We remain committed to our long-term capital allocation strategy and with our consistent free cash flow generation, along with our liquidity, inclusive of revolving credit capacity, we continue to remain flexibility in our ability to execute against our strategic objectives. With my portion of this morning slide presentation completed, I will now give the call back to Tony. Tony?
Tony Guzzi: Thanks, Mark. Well done. And I'm on Page 12, Remaining Performance Obligations or RPOs. And we have diverse RPOs of $7.10 billion an all-time record. We continue to be successful on winning new work and winning matters, as the company we had another strong project bookings quarter. We've experienced healthy demand throughout 2022 across our segments and many market sectors. And while we have always described our business as not predicated on month-to-month or quarter-to-quarter, it ebbs and flows with projects and projects award. It is noticeable that our RPOs total has increased in eight consecutive quarters fueled overwhelmingly by organic RPO growth, and that's with strong underlying organic revenue growth. Total company RPOs at the end of the third quarter were $7.1 billion or up $1.7 billion or 32% over the September 2021 total of $5.4 billion. From the end of last year, RPOs are up $1.5 billion or 27%. Additionally, we booked $641 million of work in the three months since June 30. The complexion of our RPO portfolio has changed a bit over the last 12 months or so. In general, length is going up of projects as projects scope increases and that's because of supply chain issues, which remain elevated and also the technical complexity and labor complexity of the what kinds of projects we're winning at the higher end of the project the larger projects. When you have those complex supply issues, coupled with the ability to track and retain and deploy the right mix of skilled craft labor, and the ever-present technical demand of projects, many of our customers are looking for the contractor or us that could be a preferred choice to complete some of these technically sophisticated projects where they may be hyperscale data centers, food processing plants, semiconductor fabs, hospitals, pharma plants, biolife plants, healthcare facilities, or broad-based energy efficiency upgrades. Together, our two domestic construction segments experienced strong project growth year-over-year with RPOs increasing just under $1.5 billion or 34%. U.S. Building Services RPOs increased $276 million from the year ago period, or 33% that's one point -- and is now at about $1.1 billion and small to mid-size project work and also service work. This call -- this quarter, we saw the increase in our Mechanical Service division and the reorder or renewal of several facilities maintenance contract in its site-based services division. As I mentioned last quarter, these extended lead times for HVAC equipment combined with a push for energy efficiency and improved building wellness is resulting in our customers asking us to retrofit and when we can't retrofit on time, as Mark said, we're repairing their equipment. The additionally -- we think about the lack of equipment ability, it is driving our repair service work because equipment still needs to run. In my opinion, lead time for applied HVAC equipment will continue to be extended well into 2023. Moving to the right side of the page where we have our RPOs broken down by market sector. As I mentioned earlier, quarter three was a strong booking quarter, supported by RPO increases in all sectors against water and wastewater and we have good underlying trend in the markets where we compete water and wastewater, they tend to be more episodic awards. Market sectors were led by project awards in our broadly defined commercial sector. That includes numerous data center projects, semiconductor projects and projects, customers within the biotech life science and pharma industries. It's not yesterday's or 10 years ago commercial market sector. Finishing our market sector year-over-year growth healthcare up 33%, institutional up 24%, and short duration projects for most of the retrofit work and if energy efficiency work is up 34%. Partially offsetting that was minor decreases in water and wastewater industrial manufacturing and a decrease in transportation RPOs. What I said last quarter still rings true today. I continue to like the balance and breadth from both the businesses segment and market perspective and a geographic perspective of our RPO portfolio as we closeout 2022 and we move into 2023. I'm going to talk about the next slide Page 13. And I've talked about this because it is some underlying trends that are driving their business and our business and they look like they have legs well into the future. And look some of these awards come in bulky and episodic for the bigger work like data centers and semiconductor fabs and some of it is more quick hitting like the indoor air quality mechanical services work. But you go to data centers and semiconductor fabs, we see good demand and we see that continuing well into 2023. And we're positioned in all the right geographic markets with the right people. Are we in every one of them? No, but we're in enough of them to make a difference. There's strong demand for electrical systems. When you think about data centers, bigger electrical systems, smaller mechanical systems today, still big content on both parts. Fire protection goes across everything. If you think about semiconductor fabs for EMCOR, it flips, stronger mechanical demand, lesser electrical demand, again, fire protection demand across it. Fire protection, we can cover the entire geography of the U.S. for these opportunities. Industrial manufacturing and some of this shows up in our commercial because that's where our pharma life sciences and biotech is, we see strong opportunities and really what's driving that. One is new products, new facilities, strengthening supply chains and the reassuring of manufacturing and also still relocation from higher cost states to lower cost states. Healthcare, this for us is outpatient healthcare facilities, hospitals and large physician medical office buildings. These are both upgrade opportunities as well as new construction opportunities as people seek more flexibility in their healthcare systems and pandemic taught people a lot. And also just the aging of America and the aging of these facilities are driving this demand. We put a new one in here and energy transition and transportation. And if you think about it, I heard it best from one of the big utility CEOs today. He said all of the above strategy and EMCOR can participate in an all of the above strategy. It's not an either/or energy demand is increasing. If you think about what's happening with healthcare facilities, data centers, semiconductor fabs, and industrial manufacturing resource, we're not going to be using less energy in America. And so we need all sources of energy to excel and you're coal will phase out. And so you're going to need natural gas to supplement the renewables. Nuclear, they're opening I guess they're fueling the first nuclear plant in Georgia. Not a big market for us, but on the periphery we will support nuclear plants. The one in Georgia is getting built, be the first one in a generation. Energy transition, we do participate in the solar and wind markets. In some very specific transmission and distribution opportunities, but also in the emplacement of the solar fields, we should have been doing more of that work today. We do that in both the Electrical segment and we do it in the Industrial Services segment because of the positioning of the assets and the capability. We've learned if some of those oil and gas guys are great solar builders. They're very good at it. And then you got the whole value chain of automotive. From all the way back at the mines, the lithium mines and the transportation, all the way through manufacturing and battery, all the way through to EVs and the new plants that are being built to the distribution centers that are now putting industrial scale. So we'll look, is EMCOR going to be the person that's going to build the EVs charging stations at rest stops, probably not. We'll do it episodically or we'll do it within a local market. We are the people that are doing it at the major distribution hubs. Those are high intensity electrical projects that are almost substation grade installations. And then that'll move all the way down through how you continue to do battery storage, which is a best embryonic at this stage. So and then you've got all underlying demand charges. And what's going to have to happen with the gas system to support the renewable grid. I'm actually quite bullish on how we participate on that over a 20-year time horizon. It is not a three-year project. This is a 20 to 30-year transition. And beyond the transition, we're going to need more energy. And that's not to say that we're not going to continue to support the downstream refining petrochemical and upstream market in oil and gas. Water and wastewater, Mark touched on it. We're mainly concentrated in the Southeast and even more so in Florida. There is a couple of things going on there. You had consent decree work that was going on with our some of our customers. Now you have strong underlying demand if more people moved into those states. And the demand for fresh water, wastewater treatment, is continuing to increase. Mechanical Services, there is none better than EMCOR mechanical service work. There is nobody better at putting energy efficiency project in. And we have the scale, we have the people, we have the technical know-how, and we have the OEM relationships and controls product offerings to make it happen in a big way not only from an efficiency upgrade standpoint, but from an indoor air quality. And finally, we're the best fire protection contractor in the United States bar none. We're good. We can do large projects. We can do small projects. We can do service. We have the fab capability to deliver that at a cost that's competitive for our customers on the most technically sophisticated projects in the country. And all that other stuff I talked about is being built up. Now, let's go to closing on Pages 14 to 15 and what most of you care about is we took up guidance. We believe that we will now achieve around $11 billion in annual revenue, and we're going to tighten that diluted EPS range, earnings per share guidance range by raising the bottom end of that range to $7.60 and the top end of that diluted earnings per share range to $7.85. We believe that we still have a growing non-residential market because of all the things I just talked about on the previous page on Page 13. With respect to Industrial Service, we also believe that the oil and gas market will continue improve and that we will gain momentum into the renewables market as we exit the year. We talked about the RPOs, they're at record level. We discussed the sectors on Page 12, and that should led us execute well in the fourth quarter and well into the first half of 2023 and beyond. We believe that operating income margins will hover around on a full-year basis, 5% or a little bit above 5%. Where we end up in the range at this point of the year will depend on the following. We do expect improvement in our Electrical Construction segment operating income margin as we move to a more favorable project mix and further progress on these projects that we are just starting in the third quarter and we have a record of successful execution in these types of projects. We do expect momentum to continue from Q3 into Q4 in our Mechanical Construction segment in both revenue and operating income, driven by favorable project mix and excellent execution. Our Industrial Services segment, we believe will have a more typical fourth quarter turnaround season and our U.S. and UK Building Services will continue to perform well. You know, I think confidence is how you allocate capital, right? And at the end of the day, we have confidence in our execution and prospects, and thus we have returned nearly $677 million in cash to shareholders through share repurchases and dividends on a year-to-date basis. We have repurchased 656.6 million in shares year-to-date with 202.3 million of such share repurchase activity in the third quarter. We have also spent $91.1 million on acquisitions in 2022, including our recent acquisition of Boston area-based Gaston Electric. And we're thrilled to have them on the team. From our CEOs of subsidiary and segment leadership teams to our service supervisors form and superintendents and project managers to our skilled craft labor, our team continues to perform well in a tough operating environment. And for that, I thank the entire EMCOR team. I appreciate all that that team does for EMCOR and for our customers every day. And with that, Jordan, we will now take questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. Our first question comes from Sean Eastman with KeyBanc Capital Markets. Please go ahead.
Sean Eastman: Hi, Tony and team, thanks for taking my questions.
Tony Guzzi: Hi, Sean.
Sean Eastman: I wanted to start on margins and just a higher level question sort of putting aside the noise on margins we've seen this year. How would you characterize the bridge from sort of 2011 in the high-3% to this kind of mid-5% level we've seen over the past couple of years? How much of that is the cycle? How much of that is structural? And I realize we're not seeing slowing right now, but just in anticipation of that, I wanted to understand that move and how sustainable this level is, maybe at a lower level activity into the outer years.
Tony Guzzi: Yes, yes, Sean. I think it's always hard to separate structural versus cycle. I mean it can't just be cycle. I mean we've been at this for a while. I think a lot of it goes to what we've decided to do and what we've decided not to do, right? We are operating in an environment where we are very intentional about the kind of work we've taken and we've always have been, but the team is -- have centered around a core set of values of how we run the company and a core set of expectations on how we run the company and what we expect. And there's a couple things that are, I'd say are structural. We have bigger subsidiaries than we had in 2011, and if they got more powerful and we get more leverage out of that and we can take more scope of the work. We've also seen a move in the market to concentrate more scope on these larger projects into folks like us. We've gotten more technically sophisticated. And so you go to a structural point, right, with the maturation of BIM, where we are still back in 2011, we were probably still leading BIM contractor, where I think have increased that lead, but also we get better at it every day. And it's not just -- it's really cool to see a 3D model, but if you don't do anything it -- with it to plan your work or plan your prefabrication plan, it doesn't mean anything. We've gotten better and better at prefabrication linked to BIM and then the execution on the job site and what that means. And so what that means is we're producing more in a factory typesetting on these more sophisticated jobs and less in the field. And you can really see that on large scale mechanical projects which lead the way and our electrical contractors especially as they build up these data centers and the work they support in healthcare get better at it every day too. The other thing we did is we enhanced our position in markets that are more favorable for us to complete more of the value chain so like fire protection. So that was a build-out strategy that's been 12, 15 years in the making. We did through acquisition, we've done it through organic growth and we've done it through capital investment. Again, our folks and the leaders impede fabrication. Shambaugh & Son and S.A. Comunale are the best fire protection contractors in my mind and they had plenty of competition but they're really good at what they do and they are preferred technical choice. And, thinking about that fire protection model and why we liked it so much is labor is more flexible, it's a national union for most of the union. It's design-build product on a very specific trade, people just design to a code. We then design the system underlying in it and lends itself then well to prefabrication and it lends itself well to cruise that can dealt means and methods and apply it across multiple sites. And you never put away that they got great management, right? They really understand how to satisfy our customers and at the same time drive superior operational performance. Anything about the Mechanical Services that you go to more structural, right? We've done a lot in building services to restructure how we think about the business and what I mean by that is, if you go into building services our site-based business is a -- we have a very good business development, we have a very good execution team. We lead with self-perform and we lead with scope that makes sense for us. We're better at selecting our customers than we ever have been. People that demand technical excellence or demand consistent execution across many sites and it's really with our self-performed labor as we build that up from embryonic 2011, maybe 50, 70 guys to over 500 today of these operating engineers with some HVAC, some electrical skilled and that team has done a great job. And then you get to the Mechanical Services side, we spend a lot of time understanding mix and pricing and project management and sophistication where we actually brought as we move up the chain on these bigger energy efficiency project, it scales from our Mechanical Construction segment and some of them been into the Mechanical Services likewise, we've done the opposite and taken some of the small project skills and put them in our Mechanical Construction segment. And then finally, we're achieving these margins, right, Mark, in the phase of what would have been a less favorable mix in 2011. Industrial was our highest margin product from a lot of our time between 2008 and 2013, 2014. And we expect those margins to improve but we have done it in the other trades which are much bigger and we wouldn't have expected the mix up the way we did.
Mark Pompa: Yes. Sean, the only thing I would add to Tony's commentary and this is -- as a point of emphasis; we had a number of operating companies back in the 2011 period and periods prior to that that were performing at our consolidated levels or higher. The issue that we had is we had a number of businesses that clearly were performing below that which was driving margin dilution. So, I'm more in the structural camp because, as you know, we haven't divested of a lot of businesses over that period of time. But having said that, we've taken best practices and lessons learned and because our culture has continued to evolve which has always been strong but it continues to get stronger, we've been able to make significant inroads on how those other companies that previously were lagging those historical results were performing much better. We throw on the fact that that the margin dilutive businesses back in that 2011 time period, UK and to a lesser extent U.S. building services have continued to improve, it's been quite phenomenal. If we get the Industrial Services segment, more back in line or closer to our historical results, the earnings potential or margin potential of this business, continue to be quite favorable.
Tony Guzzi: Yes. And Sean, right now because of the mix of work and we're doing some bigger work. Where they're going to be, north of 5%. We're also worried about margin dollars, right, Mark? And we're going to drive the percentage up, Mark is a percentage guy, I'm a percentage guy and a dollar guy. We're sort of -- that's a Yin and Yan it happens in business, you go to do both. And we see pretty favorable mix. Now, one of the -- I think what's underlying your question is, if we get hit with a bad cycle, what happens? Since about 2008 when we had that recession, we've always had the mindset is our next highs have to be better than our last highs in a cycle, and our lows have to be better than the last lows. And so that's why I think when Mark says he's in the structural camp. We've done structural things to this business that we know of, and we could go through more of it, right? We talked about BIM fabricate, we talk about IT systems. We can talk about planning. We talk about how we -- how the segments have been flatten, and we can talk about all that stuff. But the key point is we're all laser-focused on having a cost structure that can compete in a tougher market. And that is something we have -- we collectively down through the subsidiary CEO level focus on every day.
Sean Eastman: All right, Thanks for that. I learned quite a bit there. And then secondly, I don't want to take anything away from the momentum we're seeing here in the business. But I wondered if we're looking here at the top-line growth and the growth in RPOs, how much you would estimate sort of the inflationary pass-through uplift is within those trends and just how we should think about your comps on these quarters going into next year to the extent inflation starts to moderate?
Tony Guzzi: Yes. From your lips to God's ears, right, that inflation starts to moderate. Look, I back in the envelope, I think we think it's hard to do it because of scopes, kinds of equipment, equipment in our mix, equipment out of our mix, some of our bigger work, we don't actually purchase the underlying equipment so that's out. Labor's actually been reasonable. I think they're in it for the long game. Our collective bargaining agreements have been reasonable. They're much more focused on what goes into the benefit package. They're much more focused on actually improving the pipeline into the trades in a lot of these local unions, which is quite robust right now. I would actually say Mark 15%, 20%.
Mark Pompa: Yes, that's -- it's less than 20%. Anywhere between that 12% to 20% range is where I would settle.
Tony Guzzi: Not something we haven't looked at, Sean. It's really hard to normalize period to period. But it would say, yes, 12% to 20% of that gains in revenue and in RPOs are probably inflation related.
Operator: Our next question comes from Adam Thalhimer with Thompson Davis. Please go ahead.
Adam Thalhimer: Hey, so I kind of wanted to start exactly where you guys left off on the RPO growth. So I'm trying to think through the $1.5 billion sequential jump in RPOs, when does that work start? And what kind of confidence does that give you in 2023 revenue growth?
Tony Guzzi: Well, the works for the most part is starting now. If you think about how work gets awarded in our space, if we had some delays because of equipment and we had some delays of awards because of equipment that's part of what you saw in the third quarter. When this customer provided equipment, they delayed the award. We knew we were getting it, but they delayed the award, as we talked about. Adam, we don't comment on 2023 right now. But look, we have record RPO levels, we're in the fourth quarter, we expect a good start to 2023.
Adam Thalhimer: Okay. And the -- can you just kind of repeat your -- there was a comment, Q3 was a little bit down in industry -- in Industrial seasonally down. You talked about a better Q4, a better Q1. I guess, can you talk a little bit more about that kind of the next six months in Industrial?
Tony Guzzi: The next six months should be okay, right? Because we're in the fourth quarter turnaround season, we're going into the first quarter turnaround season. We have no reason to believe that those -- well, we're in the one, right? So we know that most of that schedule is getting executed. And we think most of the first quarter will get executed. But we're at record frac spreads, and we have incredible external pressure on these refiners to keep operating. We don't make those decisions. We plan for them. We are well-positioned to support our customers, and we also think some of our renewable projects will start to come online as we exit the year into the first quarter of 2023.
Adam Thalhimer: Okay. And then, lastly, thoughts on capital allocation from here both M&A and buybacks?
Tony Guzzi: I'll let Mark take that.
Mark Pompa: Yes. With regards to the buyback program, clearly, you could see in the Q what the remaining authorization is. We don't comment on our repurchase strategies as we go-forward, as you know. But we certainly have the authorization to take advantage of that if we chose to do that. With regards to the M&A pipeline and Tony is certainly going to jump in, we continue to have an active pipeline. But as other things that we've commented on this call, ultimately, we do not determine if something is actionable or not. There's obviously a lot of uncertainty as people are looking at the future for all the reasons that have been discussed previously on this call and some of the earlier questions we've had today. But this year has been relatively slow to-date. I would like to think as we move into 2023; we would like to see activity pull up.
Tony Guzzi: Yes. I mean, we like what we did so far year-to-date. We wish we have done a little more. We see continued good opportunities. We see it in our Electrical segment. We see in our Mechanical Construction segment. We see in Building Services. Industrial is more organic growth. We have the capabilities to support our customers. And even on UK, we could see an interesting acquisition or two. The bar for us is fairly high, right? We have good organic growth opportunities. We still have capabilities and geographies we'd like to fill, and we have people that want to be owned by EMCOR. We have great success in people that are trying to move their life's work to us. That's a better scenario for us. We earn well in excess of our cost of capital, and we make very fair deals with the sellers. We don't -- we're not bargain hunters, and we're not going to be the people that are going to go that squeeze the absolute last dollar out of the transaction. It's just not how it works when someone wants to be part of our team going forward. We do a lot of small acquisitions you never hear about that build a branch or allow us to take a mechanical service contractor in the West from a $40 million in 2002 to $300 million today. And so we're very intentional about that M&A dollars. Do I think there is a $1 billion deal in our offing? No, I don't. I think that we will continue to operate well with the $40 million to $300 million acquisition, and I think we have plenty of opportunities there over a multi-year period.
Operator: [Operator Instructions]. Our next question comes from Brent Thielman with D.A. Davidson. Please go ahead.
Brent Thielman: Hey Tony, in the 10-Q, you highlighted the manufacturing sector in regard to Electrical segment growth. And then within that, kind of the first bullet was transmission and distribution projects. And I was just wondering if you could clarify. Is that some of the stuff you're talking about or --?
Tony Guzzi: Yes, that would be around renewables and substations that support renewables. That would be located there. And it would also be on substations supporting manufacturing clients as they build out their facilities. Yes, that's mainly what that is.
Brent Thielman: Yes. And then the EV battery plant opportunities also fall into that category and manufacturing separately?
Tony Guzzi: Yes. Yes, yes.
Brent Thielman: Okay. Perfect. And then, I guess, Tony, on the -- again, on the Electrical segment, the challenges you've had to work through this year weigh a bit on the margins? Are you effectively complete with those jobs? Are you still working through them?
Tony Guzzi: Most of them will be complete by the end of the year. We have one more that will be sitting out there. Obviously, at the end of every reporting period, we take our best view on that job. So we think we know where we are. This is not hundreds of millions of dollars' worth of work that need to be completed. It's probably around $50 million to $60 million of work to get completed. This is work that for the most part, was taken between 2015 and 2017, like Mark said, under very different operating assumptions. It got delayed for some design issues initially, then some pandemic issues, then some supply chain issues. And it's work that we completed in the West Coast, and we will finish those jobs. We will seek our contractual entitlement and we will move on. It's not -- like I said, this isn't hundreds of millions of dollars of backlog or hundreds of millions of dollars of work. That work will be -- other than one job, will be complete mostly this year, and maybe a couple of things will dribble into the first quarter.
Brent Thielman: Yes. Understood. And then last just the strong Building Services performance. I mean, again, this quarter. How much do you attribute to sort of these positive or favorable seasonal trends? I know that unusually warm weather, which I assume helped to some degree. And then what you attribute to what the core business is doing, right, maybe some of the secular trends around the business.
Tony Guzzi: I think most of its secular trends on what the business is doing right. The size we're at now, with their profitability now, we love warm weather. We've been -- we don't --
Mark Pompa: We love warm weather, we love snow, but it doesn't move the needle for the performance of that segment.
Tony Guzzi: Not like it used to, because of the size. I think what really is driving the performance is really paying -- what we didn't talk about, right? Because if things are good, you don't have to whine, right? But we didn't talk about the fuel headwind that Building Services segment had it is not zero. I mean, Mark, $3 million to $5 million?
Mark Pompa: Yes.
Tony Guzzi: Yes. I mean, $0.04, $0.05 a share of headwind coming out of fuel just in Building Services, and you probably double that across the business. Now as the year goes on, when we recouped it as our pricing caught up. We don't talk about all the planning we have to do on what we're supposed to be short-cycle projects that get pushed out and what that means for their workforce planning and how we're not absorbing. I would argue they're performing at these levels with less than optimal labor utilization on the project mix side. But offsetting that is unbelievable execution on the repair service side, which is really, really strong, which is clearly highly skilled labor and the utilization and the pricing around that, coupled with the best execution we've ever seen in our commercial site-based business. And also as we even start-up new customers, as we renew customers, and we're really -- and more importantly, we're delivering for our customers there. I mean, that's a business where you really have to work with the customer on the budgeting and year-over-year productivity and cost reductions in an inflationary environment and getting through that takes a lot of scale, and that team is executing. As well as the UK team, I would put those two together, operating in really, really difficult environments for our customers, and really delivering for them.
Operator: Our next question comes from Noelle Dilts with Stifel. Please go ahead.
Noelle Dilts: Hi, thank you. Just I was hoping you could just comment a little bit on how you're thinking about the longer-term implications of higher interest rates and what that means for -- I should say higher interest rates and also just higher costs overall. I mean, obviously, your demand is exceptionally strong, you're seeing great trends. But as you look forward, how concerned are you that you could start to see slowdown in certain sectors of construction overall? Thanks.
Tony Guzzi: Yes. I mean look, that's something -- this is a seasoned management team. And so we're always aware of planning for the inevitable slowdown, right? I do think if you go to the sectors I talked about on Page 13, I mean there's a real trench, right? And there may be blips along the way, but you can't get out of the way of what are really great macro trends. But people, oh, is a secular macro trends, you have to have planned and you have had to build the labor force to take advantage of those secular trends well before the secular trend happen. So there's really nothing that's happening right now that surprises us, except for maybe the speed of some of the dollars in energy transition. So we feel good about that. The second thing is, if you think about it from an underlying, what are some things that are really things we didn't have much to do with that are going to help those secular trends? There's been three or four pieces of legislation over the last couple of years that will help keep some of that demand solidified and also solidified on terms that are good for a highly skilled contractor that always pays prevailing wages. And so if you think about it, the first one was the CARES Act. Mark talked a little bit about that. That's going to drive underlying demand in the institutional market. That's the biggest part for us, schools, right, and other institutional buildings to do building upgrades. Now that was 2021. You thought it was all spent. No, it's not. Nothing almost got spent in 2021, it can't, right? You pass it, it takes a lot of plan. Then you get to 2022, Mark talked about that being some of the drivers for our small project work in the mix. Now you get to 2023, we think we'll see even more of that. Actually, I think that will be near the peak year for the execution of those projects. Then you move to the infrastructure, probably not that big of a deal for us overall with the mix of work we do. We'll get some effect, right? We do have some transportation capability to do lighting and driver information systems. Some airport upgrades will happen that we'll be part of, and we're doing that today. And some port upgrades will happen that we'll be part of it. But generally that's a civil infrastructure build, and we're not civil contractors. Then you move to the CHIPS Act. Look, those customers are strong and financially strong to begin with. What this does is put a base under that so that they know there's some long-term capital contribution. It also sets it up on terms that are good for contractors like us. Whether they be union or non-union, you're going to pay prevailing wages and you're going to do that work here in the U.S., right? Most of those sites were designed and developed and everything else before the Act, but the Act helped strengthen the implementation of those projects. And we're positioned in a lot of those markets. The last one is the IRA. What that helps with some of these energy transition and energy efficiency. And again, we will participate in that. So yes, there's going to be speed bumps along the way. But when you're in the businesses that we are, and really, I think that the number of people that can do what we do on some of these larger projects, there's plenty of them, there's competition. But you have to have the skill to get in the project early and do the technical planning. And then they have to believe that you have the prefab and BIM capability to do the design assist to move that project along and then you can invariably flex up and down through workforce planning and execution.
Noelle Dilts: Great. That's very helpful. And I guess, second, just going back to your -- the discussion on the impact of inflation on RPO. Just to make sure we're thinking about this correctly. I mean, would you -- should we think of a lot of that inflation is just being passed through? So it might have a dilutive impact on margin? And obviously, we know that there have been a lot of other things that have impacted margins this year that should not -- that you should've passed though, so that will be a positive impact. But just kind of curious how to think about those spend?
Tony Guzzi: I'm not sure, going forward, how dilutive the impact is of inflation, right? We have a margin. We have to make on our labor and our procurement of those materials.
Noelle Dilts: Okay.
Tony Guzzi: I think what your -- what has happened, right, is more of the supply chain disruption is more a problem for us than the inflation. Yes, we passed the inflation on. But we also look to seek to make our margin, right? It's not passed on without making a margin. What the real issue is the supply chain disruptions. Now part I think we believe, as a management team is we're now in a spot where things are getting delivered, right? So we waited, we waited, we waited. There was the disruption, which we foreshadowed way back in our second quarter 2021 call. We had some things priced differently. We're working through it, working through it. And now we're getting major equipment delivered. We're putting it on the site. We put that into our planning. Are we building things optimally the way we'd want to build them? Of course not. But we have figured out how to work around that. In some ways, you're almost treating the installation of some of the major subsystems, as you would on a replacement job. You're doing everything else first. I mean, because the availability of pipe and wire and more commodity-type materials has actually been pretty good, and the price has come down actually. So you put the bundle together, might it have a minor impact, Mark, to keep things tamped down.
Mark Pompa: Yes. I mean, the law of large numbers, right? For say a discussion marking something up 5%, right? And that the percentage -- the number grows, it's more of the total contract. It could be dilutive, but it's not driving the advantage.
Tony Guzzi: It's not -- it's not driving it.
Mark Pompa: Yes.
Noelle Dilts: Okay. Got it. Thank you.
Tony Guzzi: Anybody else, no?
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Tony Guzzi for any closing remarks.
Tony Guzzi: All right. Thank you all very much. Stay safe, and we won't be talking to you. So have a great Thanksgiving.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.